Operator: Greetings. Welcome to the BRP Group Fourth Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to introduce your host, Bonnie Bishop. Please go ahead.
Bonnie Bishop: Thank you, Operator. Welcome to the BRP Group's Fourth Quarter 2021 Earnings Call. Today's call is being recorded. Fourth quarter 2021 financial results, supplemental information, and Form 10-K were issued earlier this afternoon and are available on the company's website at ir.baldwinriskpartners.com. Please note that remarks made today may include forward-looking statements which are based on the expectations, estimates, and projections of management as of today, including certain expectations related to COVID-19 and other matters. Forward-looking statements are subject to various assumptions, risks, and uncertainties, and a variety of factors that are difficult to predict and which may cause actual results to differ materially from those contemplated by such statements. For a more detailed discussion of those factors, please refer to the company's earnings release for this quarter and to our most recent SEC filings, including our most recent Form 10-K, all of which are available on the BRP website. During the call today, the company may also discuss certain non - GAAP financial measures. For a reconciliation of these measures to the most closely comparable GAAP measures, please refer to the company's earnings announcement and supplemental information. Both of which have been posted on the company's website at ir.baldwinriskpartners.com and can be found in the company's SEC filings. Lastly, we are pleased to have published our inaugural ESG report today, which is also available on our IR website. I will now hand the call over to Trevor Baldwin, Chief Executive Officer of BRP Group.
Trevor Baldwin: Thank you, Bonnie. And good afternoon, everyone. And thank you for joining us for our fourth quarter earnings call. I will share brief remarks, followed by Brad, who will cover select financial and business highlights from the quarter and fiscal year. And then Brad, Kris and I will take the questions. I want to start by thanking the amazing colleagues and partners that BRP. And another tumultuous year, you continue to deliver for our clients at the highest level, which couldn't be more evident in our results. Q4 was another excellent quarter to finish a record 2021 highlighted by Organic growth of 18% and total revenue growth of 129% for the year, we achieved Organic revenue growth of 22% and total revenue growth of 135%. We increased our margin for the year by 200 basis points while investing significantly in the business to drive our continued out sized future growth and 2022 and beyond. Our partnership strategy again, exceeded our expectations as we announced 16 new partnerships during the year, contributing more than $206 million of acquired revenue. The MGA of the Future demonstrated strong growth of 36% during the quarter, despite a 2020 comparable quarter in which we recorded effectively five months of revenue, related to our master tenant legal liability product. We continue to execute multifamily, now with over 700,000 HO4 policies enforced, while also making continued progress in both flood and homeowners. We launched our Florida admitted homeowners’ product last week with launches in additional states of both admitted and E&S products to follow over the course of 2022. We expect flood and homeowners will be important contributors to our growth in 2022 and beyond. On the partnership front, we had another active quarter to wrap a third consecutive year of outperformance. In November, we announced the addition of two more top 100 brokers and Wood Gutmann and Bogart, which added important property and casualty capabilities and relationships in Southern California and construction risk part partners which newly establishes our national construction risk management practice. These two partnerships marked the completion of seven top 100 partnerships since the beginning of Q4 2020, which makes BRP the partner of choice or roughly one-third of the top 100 firms that have transacted over the last two years. Were also excited about the additions of Brush Creek Partners, which strengthens our expertise in several verticals, including cyber and technology and Arcana Insurance Services, which enhances the MGA single-family real estate offerings. We remain extremely proud of the reputation we have achieved as the partner of choice for some of the most well respected and highest quality firms in the industry. We welcome our new partners to the BRP family and are confident they will contribute meaningfully to our continued success. Looking to 2022, our pipeline remains robust, including active discussions with firms across a range of sizes, geographies, and specializations. Importantly, our reputation as a destination employer is also being validated on the organic hiring front. During the year, we added more than 800 colleagues through Organic hiring, representing over a 50% increase to our 2020 year-end colleague base. Combined with the new colleagues added from 2021 partnerships, our total headcount at year-end was approximately 2,800 colleagues. At the leadership level, we were pleased to name Raj Kalahasthi as our Chief Digital Information Officer to oversee our enterprise technology organization, build-out our strategic IT capabilities, and helped drive tech-enabled innovation. Raj has over two decades of IT leadership experience with a history of helping companies navigate through intense periods of transformational growth and change. We also promoted Seth Cohen to General Counsel and Corporate Secretary. South is an accomplished legal strategist, and as broad expertise will be valuable as our firm continues to grow and execute on its long-term objectives. Finally, we're particularly excited about the appointment of four new professionals to our Board of Directors. They exemplify our ability to attract exceptional talent to our business with a diverse range of experiences, perspectives, and skill sets. Finally, I want to again, extend a huge thank you to all of our amazing colleagues and partners who have been the driving force behind another fantastic year of performance. You're the reason our businesses in the strongest position in the firm's history. With that, I will turn the call over to Brad to go into more. Detail on our Fourth-Quarter and full-year results.
Brad Hale: Thanks, Trevor. Good afternoon to everyone joining us today. For the fourth quarter, we generated revenue growth of a 129% to a $159 million. For the year, we delivered revenue growth of a 135% to $567 million. We generated organic growth in the fourth quarter of 18%, with all four segments hitting double-digit organic growth for the quarter. Organic growth was 22% for the full year with three out of four segments, Middle Market, Main Street, and Specialty in double-digits. We recorded a GAAP net loss for the fourth quarter of $44 million or a loss of $0.41 per fully diluted share. GAAP net loss for the full year was $58 million or $0.64 per fully diluted share. Adjusted net income for the fourth quarter of 2021, which excludes share-based compensation, amortization, and other one-time expenses was $12 million or $0.10 per fully diluted share. For the full year, adjusted net income was $81 million or $0.80 per fully diluted share. A table reconciling GAAP net loss to adjusted net income can be found in our earnings release and our 10-K filed with the SEC. Adjusted EBITDA for the fourth quarter of 2021 rose 91% to $20 million compared to $11 million in the prior year period. Adjusted EBITDA margin was 13% for the fourth quarter of 2021 compared to 15% in the prior-year period. Adjusted EBITDA for the full year grew a 157% over the prior year to a $113 million. Adjusted EBITDA margin was 20% for the full year at the upper end of our March 2021 expectation of a 100 to 200 basis point improvement over the 18% margin in 2020. Additionally, as we do every quarter in the earnings supplement available on our IR website, we have updated the quarterly proforma financial statements to reflect the partnerships we closed in the fourth quarter as if we had owned those businesses since the beginning of the year, which increases the revenues in quarters one through three versus what we presented in previous quarters. In addition, we want to point out 2021 proforma revenue and EBITDA of $719 million and a $175 million respectively, as significant partnership activity at the end of the year makes our business going into 2022, very different from just rolling actual 2021 results forward. On the capital front, we took advantage of risks of a receptive market backdrop to complete an upsized term loan B add-on of $350 million in December. We are well-positioned to execute on M&A and to achieve our expected completion of a $100 million to a $150 million in acquired revenue in 2022. A few items regarding expectations for Q1 and the full year 2022. First for the first quarter of 2022, given the strong performance across our business in January and February to start the year, we expect to generate Organic growth between the midpoint and top end of our long-term 10% to 15% double-digit Organic growth goal. Additionally, we anticipate adjusted EBITDA margins for the first quarter, approximately 200, 300 basis points lower than first quarter '21 because of the run rate on investments made in the back half of the year and changes to the seasonality of our business as a result of 2021 partnership activity. As a reminder, our adjusted EBITDA margins are seasonal in nature with Q1 being the strongest quarter. For the full year of 2022, on the back of significant investments made in the business last year, and thus far in 2022, it is our current expectation that organic growth for the year will be modestly above our 10% to 15% target. Like last year, we continue to identify high return opportunities that will boost organic growth over a long period of time. On adjusted EBITDA margin, we currently anticipate investing nearly $50 million back into the business with a concentration in our MGA of the future and Main Street businesses primarily in headcount and technology. These investments will create new products and teams that should be contributors to 2022 organic growth and important catalyst for 2023 organic growth. Recall, we executed a similar strategy last year that has worked out exceptionally well as you saw in the last three quarters of 2021. So we expect we will earn an attractive return on the capital we're deploying, and that it will have a long lasting compounding effect on growth. Despite this large investment in new teams and solutions, we still expect an additional 50 to a 100 basis point increase in the adjusted EBITDA margin for the full year above last year's 20%. In summary, we are excited about our results during the quarter and for the full year. With the momentum we have carried into 2022 and due to the prospect of another very strong year in partnerships and organic growth, I echo Trevor’s thank you to our colleagues who have been the driving force in propelling us to new heights and positioning us for continued strong performance. With that, I thank you for your time and we'll now open up the call for Q&A. Operator.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Your first question comes from Greg Peters with Raymond James.
Greg Peters: Well, good afternoon, everyone. I guess I'd like to start off with the growth results in your guidance for fiscal year '22. With organic doing really strong in all segments, I'm curious as we think about this upcoming year, is there any particular segment that you expect to do better than the others or I guess put another way, can you give us some ideas on where you think organic's going to break out by segment?
Trevor Baldwin: Hey, Greg. This is Trevor. Good afternoon and good to talk with you. And great question. So as you articulated, we do -- we have seen strong performance across all of our segments as we exited '21 and have entered '22. We expect that we'll see meaningful organic growth contributions from all four segments and the fiscal year 2022. Similar to prior years, the MGA, the future in our specialty segment will continue to be at the top end of organic growth for our business and we would expect meaningful double-digit organic growth on the balance of the operating segments.
Greg Peters: Just as a point of clarification on the MGA of the Future. I think Lease Track becomes a part of organic calculation in '22. Can you just clarify how the roll out of that as going with your customers?
Trevor Baldwin: Yeah, Lease Track has been just a fantastic success story, Greg. Not only it has the core of that software platform revenue base grown meaningfully under our ownership, it has also unlocked the significant growth that you've seen over the course of the year in our master tenant legal liability solution that was launched in the fourth quarter of 2020. We would not have seen the growth in that new product line without the incremental software capabilities that we were able to add into the business from LeaseTrack. By all accounts to success, standing on its own, the software on its own has been a great success. But then when you think about the combined contributions it is enabled from a broader business, it could be -- I would characterize it as a homerun.
Greg Peters: Excellent. My other question was just on margins and there's been a lot of rhetoric in the marketplace around wage inflation and specific the ability to retain and attract talent and you've, you've had a lot of people. And I did note your compensation ratio was a little bit higher than maybe what we're looking for in the fourth quarter. Maybe you can speak to your expectations around the commission component and our compensation [Indiscernible] of the margin assumption for '22 in the context of the comments I just made?
Trevor Baldwin: Yes. Greg, another great question. The headline is we feel fantastic about our ability to continue to add talent, retain talent, and do so in an effective and efficient manner that supports profitable growth in our business. When you -- specific to the fourth quarter and the compensation ratio you saw there, that's not necessarily reflective of the overall comp ratio for the business on a full-year basis, because of the seasonality of our revenue streams, as you know. So when you look at full-year compensation ratio for the business in 2021, it was actually down year-over-year compared to 2020 as we continued to scale up the business, gain efficiencies, and improved productivity in our business operations. As I think about the impact or potential impact of wage inflation, I think we're best positioned among our peers to be able to grow through that without feeling real pressure for a number of reasons. One, if you will recall, in the depths of uncertainty of COVID back in March of 2020, when many organizations we're freezing pay, holding bonuses, and putting a stop at hiring activity, we paid raises, we paid bonuses, and we kept hiring. And so we didn't fall behind relative to keeping our colleagues pay pacing with the increases in CPI during that year. Additionally, when you look at our overall headcount, it's up nearly 100% over the course of the past 12 months. And so as we've added in many of those people through organic hiring, they're coming in at market wage rates already. And then lastly, when you look at our overall compensation mix, approximately half of it is variable in nature, where it's tied directly to the fortunes of our revenue streams that those individuals are being compensated off of.
Greg Peters: Got it. Thanks for the answers. I'll let others ask questions.
Trevor Baldwin: Thanks, Greg.
Operator: Your next question comes from Michael Phillips with Morgan Stanley.
Michael Phillips: Hey, thanks. Good evening, everybody. What's -- in the MGA you talked a little bit about before, kind of want to get an update on kind of the priorities where you see the biggest priorities for the MGA outside of renters.
Trevor Baldwin: Absolutely. Yes. So I mean, the MGA of the future business is performing exceptionally well. We have terrific momentum not only in our legacy renters’ business, but also with the recent launch last week of our inaugural homeowner’s product with the admitted Florida solution going live. In addition to that we expect to roll out both admitted in E&S product across the U.S. over the course of the remaining months and quarters in the year with a plan to have a 50-state solution live on an E&S basis and a multi-state solution live on an admitted basis by the end of the year. We think that that homeowner’s initiative is going to be a meaningful driver to organic growth at the MGA. And addition to the continued momentum we see in the renter space and addition to that, we've stood up a new product team who is in the process of developing and launching incremental products. And we expect those will be significant contributors to continued organic growth in 2023 and beyond. We could not be more excited about the position of the MGA of the future, the significant investments we've made in that platform and the ultimate growth that they will going to yield and the value creation that, that will generate for our shareholders.
Michael Phillips: Thanks. As I'm trying to say just quickly, is the Florida home product, is it admitted or E&S?
Trevor Baldwin: The product we launched last week is admitted and that's a rated paper.
Michael Phillips: Okay. Thanks. --
Trevor Baldwin: I just want a clarification, Mike, we do not take any balance sheet risk on that product or any of the admitted products.
Michael Phillips: What impact do you think there could be on -- maybe necessary guys in particular, but just maybe in the industry or whichever one you want to comment on, on the impact of rates as they arise on the acquisition multiples? Is there a certain point where or if there's a certain threshold, you think where rates rise enough that there could be a stalling or too much -- too high of a multiple for maybe the industry to look at?
Trevor Baldwin: Yeah, Mike, great question. I'd say our perspective is that multiples likely peaked last year as we anticipate a raising rate environment over the balance of 2022 and potentially into 2023. I suspect that we'll have an impact on valuation multiples where you will see them pull down ever so slightly. I do not believe you're going to see a wholesale shift in valuation in the space. But we've certainly seen some signs of modest softening in overall valuation.
Michael Phillips: Okay. Great. Thanks, Trevor. Appreciated.
Operator: Next question comes from Yaron Kinar with Jefferies.
Yaron Kinar: Thank you. Good afternoon, everybody. My first question because of the some of the underlying assumptions behind the organic growth estimates for the F for 22 can you maybe talk about how you foresee the USPS economy developing over the course of the year and the rate environment as well.
Trevor Baldwin: Yes. You're on great question. And good to talk with you. So as we think about the impact of GDP growth in the overall rate environment. on our overall organic growth, they're not meaningful contributors to the overall results. So as we sit here today, what I would say is there's likely going to be some economic choppiness as there is geopolitical instability, supply chain challenges, wage inflation that are impacting businesses broadly. We expect that we'll continue to see a hardening rate environment, albeit one that is ebbed slightly from the rate action that we saw in 2021. And when your kind of blend the impact of rate and economic growth together, it's a modest tailwind to the overall organic growth profile of the business. Just as a frame of reference as you think about the building blocks of organic growth for our organization, there's really four drivers to that. You've got the retention of prior year client revenues. Our client retention is likely modestly better than our peers, but not driving a meaningful difference. You then plug in the impact of rate and exposure unit, expansion and contraction, which as I had mentioned, we expect that to be a modest tailwind in 2022. The impact of that on our business for fourth quarter was 2.3% tailwind and the impact for the full fiscal year of '21 was a 3.5% tailwind, again the combined impact of rate and exposure. But the largest driver of the overall Organic growth is our ability to go out and win new client relationships that are rate that meaningfully exceeds what our industry peers do on average.
Yaron Kinar: Got it. And then how long by your estimate does it take a new producer, somebody that you've hired to hit full capacity?
Trevor Baldwin: Yes. That answer varies somewhat depending on the segment that they're in your own. I'd say broad brush as we think about the impact of adding new people to our business and the timeline for them to become fully productive. It's about three years on average. So as you think about the 103 people that were organically added into the business last year. And you think about our business generating roughly $257,000 of revenue per colleagues. You can think about those 800 colleagues, roughly yielding $200 million of incremental revenue growth into the business over the course of the next three years. There's other parts of our business, however, all on our main street operations where we're making significant investments this year, where we can have a risk advisor up to speed and meaningfully contributing to new business growth within three to six months.
Yaron Kinar: Got it. That's very helpful. And then maybe one final question on my end. I realize today's a little bit of a different day with the tenure moving down. But I think overall expectations are that the interest rate environment will creep upwards in coming months. Does that impact your thought or approach to the debt load, to funding acquisitions through debt or no?
Trevor Baldwin: Yaron, as we sit here today, we feel like we're well hedged through interest rate caps that are laddered out effectively across multiple years to protect our existing debt position. Additionally, as I sit here today and look at our share price, I believe that we're seeing the largest gap between the share price and intrinsic value of our business since we've been public. Even with increasing interest rates, we believe that debt capital will be the most efficient funding source for continued M&A growth in our business.
Yaron Kinar: Great. Thanks for the answers.
Trevor Baldwin: Thank you.
Operator: Next question, Elyse Greenspan with Wells Fargo.
Elyse Greenspan: Hi, thanks. Good evening. My first question, you guys reaffirmed that a $100 million to $150 million M&A guide on the revenue side for 2022. Do you have a sense of the seasonality there? Would you expect deals to be waiting typically sometimes back-end-weighted? How do you see 2022 shaping up relative to transactions when they might be announced?
Kris Wiebeck: Hi, Elyse, it's Kris, it's a great question. As you saw, we did a lot in Q4. We thought Q1 would be quiet, it has been quiet. We would expect that as you're building models. You would start to see revenue flowing in from new 2022 partnerships starting in Q2 and then ahead Q2, Q3, and Q4.
Elyse Greenspan: Okay. And then in terms of the organic guide, you guys said midpoint to top end of that 10 to 15 for the Q1, but then it sounds like you'll be modestly above that target for the full year so organic growth should pick up as we move to the year. Is that a statement like, what do you expect that to be Organic growth to pick up and all of your segments as we move through the year? Or is it maybe in response to one of your prior questions that Main Street concede impact of some of the high-risk quicker. So that segment might be better. How should we just think about the segments and how we could see incremental growth as we move through the year?
Trevor Baldwin: So Elyse, broadly speaking, one represents historically the seasonally lowest Organic growth quarter for our business. As a result of the seasonality and timing of when new business tends to come online and into the organization. In addition to that, we've made meaningful investments in a number of growth initiatives that are coming online now, and that we expect to have a growing impact in contribution to Organic growth as the year goes on. In particular, in both our MGA and Main Street businesses.
Elyse Greenspan: Then lastly, you guys called out, obviously this incremental investment, you said the $50 million that you guys are going to invest back in the business this year. How should we think about future years? Is each year dependent when you set investments of the start of the year? Just thinking about, is it investment that got you where you want to be when we think about 2023 and beyond? Is that something that you'll consider right at the start of next year?
Trevor Baldwin: Yeah. What I would say is this is not an expectation of every year type event. We're making significant investments in our proprietary technology platform and MGA platform in order to position it to scale up broadly in support of multiple products launches this year and next year and beyond. I suspect -- my sense is the investments we're making will be fully absorbed in into a mature productivity state over about a three-year timetable. We expect those investments to yield at least about a 5X return on invested capital from a value creation standpoint over that time period.
Elyse Greenspan: Okay. Thanks for the color.
Trevor Baldwin: Thanks, Elyse.
Operator: Next question, Josh Shanker with Bank of America.
Josh Shanker: Yes, thanks very much. If you think about the capital [Indiscernible], you guys have done over the past 18 months and do it as kind of a treasury that you're putting money into do acquisitions. Obviously, you did some larger ones and they spurred on your desire, do it a capital rate. Is there anything left over in the treasury parse, or is All the capital that we put forward for acquisitions going forward, internally generated, and or being done with future capital raises?
Brad Hale: Josh, it's Brad, so we're very pleased in hindsight to have taken advantage of an upside to our Term Loan B and December, which freed up our revolver capacity and gives us flexibility as we look at 2022, as Trevor mentioned earlier on the call? We will both focus on. Our internally generated operating cash flow and the debt capital markets to execute on our 2022 strategy.
Josh Shanker: And so good given the comments that you think the stock price relative to the intrinsic value is lower than it's ever been. That you would be very, very hard for us. Braves capital in the equity markets under these conditions would be -- is that reasonable to say.
Brad Hale: Yes, that is accurate.
Josh Shanker: Okay. Alright. Thank you very much.
Brad Hale: Thanks, Josh.
Operator: Next question, Pablo Singzon with JPMorgan.
Pablo Singzon: Hi. So I just had a question about your -- hello? Yup. Your organic growth for '22. And I guess I'll ask it this way. And Trevor, you had touched on it already, but how much of that growth, right, so it's basically above trend, will come from the new products? And I think you know how to frame it, but to what extent is beating your long-term range dependent on a very successful rollout of the new products, specifically MGA and the Main Street system?
Trevor Baldwin: Yes. This year we expect the investments we made last year to yield 200 to 400 basis points of incremental organic growth that otherwise would not have occurred.
Pablo Singzon: Alright. That's pretty clear. Then a number of questions, I guess. So the $50 million of investments you're making this year, that will be excluded from the adjusted EBITDA margin or will that flow through?
Kris Wiebeck: That'll -- it's real expense in our P&L that suppresses our actual EBITDA margin. What you and Brad say on the prepared remarks is that we will expand margin in our business modestly while investing an incremental $50 million above regular run rate trend reinvestment in the business, which speaks to the margin accretion that exists in our business. And the mature margin profile that we can ultimately operate at.
Pablo Singzon: Got it. And then last one for me, it's not the largest business for you, but as you are aware, there's been a fair amount of disruption into the Medicare market, especially among the online platforms. I guess just sort of your general thoughts there and how your particular Medicare business position and if you see an opportunity just given sort of the [Indiscernible] disruptions in the market, thanks.
Trevor Baldwin: Yes. Great question, Pablo. As you know and as we've talked about in the past, we recognize revenue in our Medicare business differently than the other pure play publicly traded Medicare brokers that exist. What that means specifically is we have fully constrained under 606 revenue recognition principles. The revenue we recognized in the Medicare business to one year of the expected cash revenue received on a Medicare policy. As you've seen in the results, COVID certainly had an impact on our Medicare business as a result of our community-based go-to-market strategy. What I will say is, as we've been coming out of the COVID environment and the most recent annual enrollment period in the fall of 2021, we saw a meaningful uptick in activity and are very encouraged about the business model and go-to-market strategy that we have and expect to see a meaningful rebound in the organic growth results of that business in 2022 as a result.
Pablo Singzon: All right, thanks for your answers.
Trevor Baldwin: Thanks, Pablo.
Operator: The next question, Meyer Shields with KBW.
Meyer Shields: Thanks. Two, I think pretty simple questions. First, we talked about $50 million. That's not incremental to the 2021 investments, right? The same way that, let's say 30 with above normal rate, this is $50, so it's like a $20 million shift?
Trevor Baldwin: No. It's incremental above the $30 million, Meyer. The way you should think about the $30 million from last year as that was end-year investment above normal trend. As we grow into that investment, which again, as I had articulated earlier, it's about three years before that investment becomes fully productive and operating at a more mature margin profile. So that $30 million ends up being probably a $10 million to $12 million drag in the year of 2022 and then becomes effectively neutral in '23. The $50 million is an incremental new reinvestment program above that, but that will have a similar three-year trajectory to becoming fully productive in our operating model and mature margin profile.
Meyer Shields: Okay, great. So head around, thanks for clarifying. Second question. I was just hoping for an update on, I guess the Florida Homeowners Market. We keep on seeing companies that are getting downgraded or just giving up on growth. I assume that you're much closer to it and just wanted to get a sense as to how much capital is out there writing homeowners now that the MGA can access?
Trevor Baldwin: So there's a bifurcated the answer to that question may or the Florida homeowner's marketplace is in the worst shape. It's ever been in my 15-year career in this industry. There is a real need for regulatory reform that has not yet occurred in the current state. It's not a sustainable functioning going concern market. With that being said, we believe there is an opportunity with the appropriate risk selection strategy to have a very profitable homeowners’ book of business in the state as a result of our unique and shelter distribution strategy and how we're able to have superior risk selection. And as a result of that strategy, we've been able to source significant risk-based capital on support of our homeowners’ product, we launched our first admitted product in Florida last week, we we'll actually be launching a second admitted product in Florida in the coming months, as well as E&S products. Our opportunity in the state is significant and there is a meaningful tranche of good profitable business here. But you've got to really understand the nuances of operating in Florida and what can get you in trouble fast.
Meyer Shields: Okay. Perfect. Thank you so much.
Trevor Baldwin: Thanks, Meyer.
Operator: I will now turn the call over to Trevor for closing remarks.
Trevor Baldwin: Thank you, everyone for joining us for our fourth quarter and year-end 2021 earnings call. And we look forward to interacting and speaking with you all in the coming weeks and months. Take care.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.